Anders Runevad: So, good morning, everyone and warm welcome to the Third Quarter 2014 Earnings Announcement. So, let’s get started. The usual slide on disclaimer, and then let me spread into the key highlights of the quarter. And I must say I’m very pleased with the results in Q3. Strong operational performance of everyone working in Vestas, and we see good improvements in most of the key parameters and of course especially in improved earnings. The guidance is increased for the full year of 2014 and I will come back to that in the later part of the presentation. Other highlight is EBIT, before special items at 9% in the quarter and earnings more than doubled compared to the same quarter last year. Also free cash flow almost doubling to €105 million, very much influenced by the improved earnings. The right sort of return on invested capital increased and has now increased fairly rapidly for the last three or four quarters, and in the quarter reached 26%. A decline into order backlog due to a relatively speaking lower order intake in Q3 but a positive development on orders looking at the first nine month compared to the same period last year. So, I will talk about a bit about the markets and orders, Marika will come up and talk about financials. And then I will come back with the outlook and the summary. So, if I start to talk very broadly then about the regulatory trends that we see in the market, I’ll start with Americas, where the PTC is of course high on our agenda. There is no decision yet. But we expect that it will be revisited at the earliest in December of this year so, of course something that we monitor closely. In Latin America, we see good activity with supportive frameworks either being implemented or being put in place in many countries, broad scale in Latin America, for example Colombia, Panama, Honduras, etcetera. In Europe and Africa, they use decision to increase renewable share to 27% in 2013, for certainly give stability in the long-term view of that market. And that of course is on top of the 20% target in 2020. We also see new EU guidelines moving to market based support systems. And Germany such is one such example that will move the tenders in 2017, will move in-line with this, new EU guidelines. In Asia-Pacific, our discussions around Feed-in-tariff reduction around 3% to 8%, there is no decision yet. These are more preliminary discussions and at the same time then we see increases in build-out targets. In India, the accelerated depreciation scheme is re-announced so to speak, reintroduced. I should say into the market which fuels a positive development. In Australia, we have a bit of a standstill for the moment in negotiations around the RET their renewable energy target has started. And there is no conclusion as of yet. Looking at the market development down from an order point of view and from Vestas order point of view as I said, first nine month this year compared to the same period of last time we are up 12%, a good growth in Americas, very much driven by the U.S. offsetting lower activities in Canada and Mexico but also very good healthy high activity levels in Latin America. Europe and Africa, a very big region, up 5%, general improvement in Europe, partly down offset a limited order intake in Africa and in offshore. So, very good activity levels in countries like Germany, France, Nordics, but also a bit newer to wind countries like Turkey. In Asia-Pacific, we see a decline of 27%. This is primarily driven by no Australian activity for a moment, which traditionally has been a very strong market for us. So the order intake that we do see for the first nine months is from a market such as China, and we also see good activities in partly new markets like South Korea and Philippines. Moving over then to delivery. We see a considerable increase in activities. So, the first nine month deliveries are up 33%. Very sturdy growth in Americas again driven by to large extent U.S. with 760 megawatt but also good improvements in countries in Latin America, many of them like Uruguay, Peru, Mexico, Chile and Costa Rica. And Vestas has a good position in Latin America. Deliveries in Europe and Africa are also up 4% to 6%, strong development generally across the board in Europe. I talked about before Germany, northwestern part of Europe we see good increases in delivery but also markets such as South Africa and Turkey. In Asia-Pacific again, delivery down about 50% and again for Vestas it’s really Australia and the swing in that market. That accounts for the majority of this decline. If you look at order in the quarter and we were down 377 megawatt year-on-year. We should of course remember that in our business it’s a project business. And therefore orders between quarters can fall a little bit in or out every quarter so to speak. So for me, it’s more important that we will get a longer term trend for the full year. The price per megawatt was at 0.87 in the quarter and has been stable now for four quarters. As we have said before, the price per megawatt is influenced by the type of scope of the contract but also of a number of different other factors like wind turbine type geography scope and of course the uniqueness of the offer. But I would say a very stable development for the last four quarters. And as we have talked about before, we clearly see the influence of more supply only contracts from the U.S. market in these numbers. I know that there are a lot of questions about the U.S. and we also talked about the frame agreements before. So, just to give you a snapshot of actuals as of today then, we talked before that we had 3.3-gigawatt or have 3.3-gigawatt of master supply agreement in the U.S. As of today, 2.1 gigawatts of those are utilized, so to speak, which means that there is a potential of 1.2-gigawatt left in that supply agreements. But it’s of course we also saw that we take orders in that market outside the frame agreements. And if you look at order intake year-to-date as of today, and that has been updated with order we announced yesterday, it’s at 1.8-gigawatt. And out of those then 1.2 gigawatts is sort of within the frame contract and 0.6-gigawatt is outside the frame contract. So, that leads me down to the backlog. Service backlog increased with €0.2 billion while the combined backlog then due to order intake and the high activity level in the quarter decreased with €0.5 billion. And the total backlog now stands at €13.4 billion. So, with that, I hand over to Marika. Please?
Marika Fredriksson: Yes. Thank you, Anders. If we have a look at the income and statement as Anders said earlier, it is significant improvement that we see in Q3 of this year and that we’re obviously very satisfied with. So, it is a proof of the strategy that was implemented by Anders at the beginning of this year, which talks about profitable growth for Vestas. We, most of you here are aware of that we have our aim last year was to reduce the breakeven level for the company. And clearly in the income statement in Q3, you can see the leverage from that reduced breakeven. So we have not only a revenue increase of 26% but I think more – what’s more highlighting is the EBIT improvements, that is above 140% improvement in the quarter isolated. You also see an improvement in gross profit year-over-year, not only in absolute numbers but also in percentage. We also have a net profit – positive net profit in this quarter, so we’re continuing on a very good path. If we look at the service revenue year-over-year we have also improved the revenue in service and we continue to grow with stable margins. And the renewable rates in the quarter, is 66% but also what was noticing here is that we continue to increase our service order backlog. All the numbers that you see here are excluding offshore as that has been now divested into the joint venture with Mitsubishi. The balance sheet, the equity improvement primarily comes from the equity we raised also in the beginning of this year. But I think the real great improvement is the net debt improvement and we’re actually now have a cash position of over €600 million. So the absolute change is over €1.3 billion year-over-year in Q3, so a very good performance. We have also improved our solvency ratio with over 10%, so we’re close to 31% also in Q3 of this year. If you look at the change in net working capital, I think most of you are aware of that this is still a key focus area as we are a very capital intense business. And we have continued also in ‘14 the project to continue to reduce net working capital. And you can see despite higher activity in this year, i.e. ‘14, we have reduced by over €200 million year-over-year, so 12-month it still continues to improve. And also if you compare with Q2 of this year, we have a slight increase despite more megawatt under completion. And I would like to highlight that is again as expected because we said earlier that we will see a higher activity in Q3 and building up to prepare for Q4. So, we are continuing the focus and we’re continuing to deliver under the project. The warranty provision is a result of the quality focus that we have within Vestas. The provisions made will of course vary because you have revenue varying. So we provide 2% of the revenue. So that will vary in between the quarters. Worth noticing is also the loss production factor that continues to be very stable below 2% for Vestas. Cash flow statement, which is obvious – is an obvious focus for us. And here, I think the most important part is that our free cash flow in the quarter is driven primarily by improved earnings, compared to last year where it was mainly driven by the working capital improvements that you saw. But this year clearly earnings, has a big positive impact on the free cash flow for Vestas. The total investments are increasing again as expected. The primary investments we make at this time, is in the new blades technology. So, it’s for the V110 and the V126 the moulds. So, and again, it is a light CapEx solution that we have implemented and the moulds are actually movable. The capital structure that was also set, the targets were set at the beginning of this year. We said that net debt to EBITDA should not be above 1. We clearly, below that target and that we are obviously very satisfied with. We also have a solvency ratio above 30 and 30 is the target for Vestas when it comes to capital structure. And here you see a slight reduction compared to Q2 and that is primarily driven by the working capital items so again, as expected when we enter into Q3 of this year. This is the return on the invested capital, which is one of the long-term targets that we have. And clearly driven here again, primarily by earnings we’re on a very good path. We’re close to 26% in Q3 of this year. And if you compare that to the 3.2%, only 12 months ago I would say it’s significant good improvement on the ROIC and our efficiency as a company. Thereby, over to you, Anders.
Anders Runevad: Thank you, Marika. So, outlook, as I said before we have raised our outlook for the full year, on revenue from minimum €6 billion to between €6.4 billion to €7 billion. On EBIT margins before special items for 6% to between 7% and 8%, we maintain the total investment of approximately €250 million. And we raised the outlook on free cash flow from minimum €300 million to between €400 million and €700 million. And we have not changed on the service business that we expect to grow with stable margins. So, with that, we open for questions. Please.
Lars Heindorff – ABG: Yes, good morning, Lars Heindorff, from ABG, A question regarding the Q4 activity level. Normally, we see the Q4 activity – the fourth quarter, sorry, is the strongest quarter in terms of activity levels. Do you also expect that will be the case this year?
Anders Runevad: Yes.
Lars Heindorff – ABG: And then further on to that, in relation to the guidance, which seems, given your answer now, very prudent. You also expect that the unit cost in the turbine division will continue to decline?
Marika Fredriksson: Well, if you look at the fourth quarter, there is a very high activity normally. And therefore in Q4 of Vestas, and I would say even in the last two weeks of the year, we see high activity. And I would say the guidance that we have provided now is realistic guidance with what we see. And obviously being at this point of the year, we have more clear visibility on both the risks and the upsides. So, the guidance that we have provided has taken into account weather conditions at the later part of the year because we put up our turbines in the more windy area for obvious reasons. And also when it comes to the northern part of Europe, the temperature also has an impact on that.
Lars Heindorff – ABG: Okay. Then looking into 2015, this is sort of a question regarding your planning. There’s a rush right now, a very strong German market towards the end of the year. And also, there are still some uncertainties about the PTC extension in the U.S. For planning purposes, how do you plan for these things? I mean the pickup, the activity – the pickup in the activity level in Germany and the uncertainty regarding the possible PTC extension in the U.S.?
Anders Runevad: Yes, I mean, as I said when I talked about the market outlook and orders and so on. I would say that if we see a stable market overall in the short-term. And I would say Europe as overall we see a stable market. So, in the short-term there we see a stable market, PTC, of course you’re right. I mean, that is something that we follow very closely. It will not have any major effect on ‘15 because we know what we really saw during ‘15, it could have then the potential impact on ‘16. So, we work with different scenarios, we of course monitor very closely when we believe that could be decision or the PTC because of course that influence different scenarios we have. Again, Vestas is a company with a global reach. We are present in 73 markets. We’ve taken orders in 24 or 25 markets so far this year. So, we think that we are well balanced, and we are aware of that markets will go up and down depending on political decisions. It creates certain volatility but that’s part of this business. And Vestas is the company with a very good I would say global footprint and exposure in different markets.
Lars Heindorff – ABG: And then the last question regarding the emerging markets, particularly Brazil, India and China, which you have decided that you want to focus upon. Can you give us an update on that, the situation in China? You’ve received a small order, and so then you lost one in Brazil.
Anders Runevad: Yes. First of all, I think it’s important as I have said many times before we launched a mid-term strategy that is three to five years. We clearly laid out what steps we need to take to get more real events in some of the key markets. Overall, we are doing really well in emerging markets. And so, as I said, we signed orders in 25 markets this year and many of those emerging markets, new markets for us. When it comes to your specific question on China, we launched a new strategy in China based on both an internal change of mind, you can say or internal focus on China. And that means bringing our latest products immediately to the Chinese market. Change our service philosophy because that clearly didn’t fit with the Chinese customers the philosophy that we had in other markets but also based on market development that we see in China on much bigger focus on cost of energy instead of just initial capital investment. We see new turbine certification processes that we think plays very well in hand to Vestas. We need – we talk a lot about foreign or local player, I would argue that we can produce everything locally in China. We have a local set-up in China we are extremely local in China. And we need to get better leverage of that when it comes to sub-components of that goes into our factory in China. There is a maturity that’s coming, a maturity in the market that is improving. And we need to tap into those, sub-supplier maturity in China. So that’s the strategy. If you look at, in the quarter we have a small increase in delivery compared to a year ago, we can do better. And but this is the first step in mid-term plan. For Brazil, the order that we lost is not included in Q4, so it’s not projected in the Q3 numbers. Brazil in general, we are progressing according to plan. We have announced the investment that we see necessary as to first step into the Brazil. We are happy with execution of the plan. It’s again a long-term plan. And we are confident that we take in the right first step and qualify for the PNAMI which was our first sort of step as a bigger entrance in that market. Okay, we switch then to from the floor to any other questions from the webcast or the telephone conference. Please.
Operator: Thank you very much. We will now begin the question-and-answer session by the telephone. (Operator Instructions). We have our first question from Sean McLoughlin from HSBC. Please go ahead.
Sean McLoughlin – HSBC: Yes, good morning and great numbers. I have three questions. Firstly, just looking at Q4, can you, we know Germany is strong, we know U.S. is strong. Are there any other two or three markets you could indicate where you expect particular strength on deliveries and completions? Secondly on staff numbers, I’ve seen they’re trending back up. You’re back up above – kind of back towards end 2012 levels. I’m just wondering. Is there more hiring to be done, should we expect this number to trend back up to 20,000 or do you think you are now fully staffed for a strong Q4 and 2015 as well? And thirdly, if you could just I think give us, I think an update on the dividend itself, as to what your current view is on payment of that. Thank you.
Marika Fredriksson: Okay. Delivering in Q4, as we have now given you a range that is obviously part of – the projects that we would deliver is not – we’re not 100% sure is probably the wrong wording. But that will vary in Q4. But you will see the regular composition in terms of countries that will be – we expect to deliver in Q4. But some of the uncertainties are obviously the range that we have now provided for Q4. But if, it is, will be again a very high activity also for Q4 with basically deliveries taking place at the really end of the year, of the Q.
Anders Runevad: And if I comment on the staff question, we have increased the personnel, as you can see that is very much in line with the demand and increased activity level. I can also say that the absolute majority are actually all is blue-collar staff. So, that is linked to the production and construction and higher activity levels. And we are confident that we are following the plan. So we will increase on the blue-collar side in line with the activity level we see. And we are confident that we are on the right level now for Q4. And when it comes to next year, we will come back with our guidance on how we view that year in February as normal. When it comes to the dividend policy, we have a dividend policy. We are clearly, and we have the where we want to be that is for the end of the year. It’s clearly spelled out. We are in that territory now for now. So, and of course the final decision on the dividend is for the board. But we are definitely in the range. And that is what I can say regarding the dividend and the policy.
Marika Fredriksson: Sean, if I can just comment on the hiring. We have clearly taken down again the breakeven for the company and that’s also why we’ve reduced the number of headcount last year. And we also clearly as Anders said, spelled out that we will increase to meet the demand, so that is part of creating a more flexible Vestas because from a machining point of view, we could do more than the break-even, more than the 4.5 that we indicated last year. But we would recruit to meet the demand from a workforce point of view.
Sean McLoughlin – HSBC: Great. Thank you.
Operator: Okay. And our next question comes from Kristian Johansen from Danske Bank.
Kristian Johansen – Danske Bank: Thank you. A couple of questions from me, first regarding the Brazilian order which was cancelled. What financial impact do you expect from this in Q4, and what have you included in your guidance?
Marika Fredriksson: Well, the Brazilian order, as you correctly point out is a cancellation in Q4. And it is an order it has not yet been delivered. All the effects from the order, which would primarily be cash flow has been included in the forecast.
Kristian Johansen – Danske Bank: Okay. So it’s included in your guidance?
Marika Fredriksson: Yes, sorry, the guidance is the correct word. Yes.
Kristian Johansen – Danske Bank: Okay. Then in terms of Q3, as I can see, you have booked €88 million in revenue on offshore to the joint venture. Can you comment a bit about the margins on this part of revenue? I know last quarter you said that the margins on the offshore market, was fairly high. Is this the case again this quarter?
Marika Fredriksson: Well, as you correctly point out, the offshore margins are normally higher because of the higher risks with the offshore projects.
Kristian Johansen – Danske Bank: So it’s the case again with this month?
Marika Fredriksson: Yes.
Kristian Johansen – Danske Bank: All right. And then in terms of the U.S. orders, you pointed out there is still 1.2 gigawatts under these market supply agreements. Can you give us any flavor on how we should think in terms of the timing here? Do you sense that your customers are awaiting the lame-duck session to see if you will get an extension of the PTC? And when is the latest that these customers can move and make it to firm orders with you if they needed to be completed by the end of ‘15?
Anders Runevad: No, I will say that of course up until ‘15 there is great clarity on sort of PTC qualification and so on. So, I think it’s of course after ‘15 which is the key discussion point around PTC extension or not. So, within this timeframe, as I said on the slide also pointing out what’s left of the frame agreements and there are our other orders also in the market still. So, I think it’s fair to say that our U.S. sales team will continue to be very busy for the next three to six months looking at this so to speak PTC cycle. And the activity after that will depend on whether or not PTC will be renewed or not.
Kristian Johansen – Danske Bank: Okay. That’s clear. Then my last question, can you comment about the impact of the cost-out program here in Q4 versus what you’d included in Q2?
Marika Fredriksson: Well, what we have clearly said now if you look at the margins in Q3, there is the majority of the impact comes from increased volume. We also in Q3 of this year see an impact from the cost-out program but not as significant as you saw in Q2 of this year.
Kristian Johansen – Danske Bank: But is there a further improvement in Q3 versus Q2? Or is what you have in Q3 just a reflection of the improvements you did in Q2?
Marika Fredriksson: There is one component that is the cost out. There is also in this quarter a component that is mix, not as positive as in Q2 of this year.
Kristian Johansen – Danske Bank: Okay. Thank you. That’s all from me. Thank you.
Marika Fredriksson: Thank you.
Operator: And we have another question from Jacob Pedersen from Sydbank. Please go ahead, sir.
Jacob Pedersen – Sydbank: Yes, hi, a couple of questions from me. First of all, could you talk a bit about product mix? We’ve had a couple of quarters now with very solid gross margins. Could you indicate whether there’s product mix related to that? Also, when we look forward into Q4, any unusual things in the product mix to come in Q4? That’s the first question.
Marika Fredriksson: Well, again the program that we have been through and actually the operational excellence that we continue not only for the mid-term but also for the short-term is a focus on cost out. It’s a focus on cost out on products. It’s also a focus on continuing focusing on the fixed capacity cost out we have in the company and that you can see is well under control. And then, the mix will always vary quarter-by-quarter and I know we’ve said this numerous of times. But it’s big project and you don’t control exactly what to deliver in each quarter, you have a good flavor. And what you can clearly see compared both with – compared to last year, we continue to improve our gross profit. So clearly there is a focus on the overall profitability of the project and the cost of the products.
Jacob Pedersen – Sydbank: Okay. Next question is the service business. You have quite handsome growth in the first three quarters of this year and renewal rates that are not as good as they were once. Any comments to where you see this going and is this is a periodically – will growth increase when we look forward? What is your expectation for the service business?
Marika Fredriksson: Well, Anders, sorry.
Anders Runevad: No. But I think first of all, you should look at the backlog of service that is increasing at a healthy rate. I would say renewable – renewal rate in the quarter was a little bit below our average again, not significant, not a big one for me that we had then in the quarter. Because of course we have a lot of service orders and it’s depending on how much of those actually comes up for renewal in the quarter and where they are. You will see variance in the renewal rate. And in this quarter we had from relationship point of view, quite a lot of service contracts from China that usually don’t renew more than the normal first two years. So, that rate we expect as we sell from the beginning of the year, the renewal rate to be fairly constant. And that’s what we believe. And we see a good growth in the order backlog of services and we see very stable margins. If you have anything more there to add, Marika.
Marika Fredriksson: No. I think the point to – to point out despite the lower renewal rate as you said Anders is the increased order backlog for service business.
Jacob Pedersen – Sydbank: Okay. My last question is more structural. We’ve seen oil price decrease from around $110 a barrel to now around $80 per barrel. What is your view on the impact of the wind industry if $80 a barrel of oil is the new normal?
Anders Runevad: Yes. I mean, if I try to answer that in three different looks maybe. But first, of course oil price has a big impact on macro-economy overall. And of course we as any other company are dependent on the macro-economy of them. And of course, electricity production is linked to the overall financial developments. So, from that aspect of course there is a link. So the oil price, big influence of the overall macro, electricity generation electricity prices depending on the overall macro-economy. So there is a link there. On the more specific link, it’s less of a link. It’s actually because we of course in that sense have a higher linkage to coal prices, gas prices; prices for nuclear, prices for hydro which is used for electricity generation. And that oil is to a lesser extent. Of course there is a link between oil prices and gas prices, but again it’s a secondary link. I would say it’s also oil price of course is more of a spot market type of environment with very quick moves in prices. Electricity generation is long-term project that are in many cases less dependent on spot prices so to speak. There is also a positive argument for wind actually if you want to hedge yourself against volatility in those commodity prices, the price for the Wind is zero, it’s well known and the investment in Wind Park is also well known. So, if you have – if you want to hedge yourself against volatility in the oil price, wind could be a good alternative.
Jacob Pedersen – Sydbank: Okay. Thanks a lot.
Operator: And our next question comes from Claus Almer from Carnegie. Please go ahead, sir.
Claus Almer – Carnegie: Thanks. Yes, I also have a few questions. The first question goes to the backlog. How is the profit quality of the backlog, compared to what we’ve seen for the last nine months? That will be the first one.
Marika Fredriksson: Sorry, Claus, I think you have to repeat yourself then.
Claus Almer – Carnegie: Sure. Looking at the backlog, if you look at the backlog today, how is the profit quality compared to what we have seen in the P&L for the last nine months?
Marika Fredriksson: Okay, then I get your question. The, obviously we don’t or obviously we don’t talk about the profitability level on the order backlog. What I would say overall when it comes, it’s going to be a mix in the order backlog also. As Anders pointed out earlier, we take in orders from 25 different countries throughout the nine last month in Vestas. We continue the cost out on the product that obviously also will have an impact on the mix question. So, what I can say is that the focus on profitability and increasing the gross profit also going forward is top on the agenda.
Claus Almer – Carnegie: Just to be 100% sure. So on average, the quality of the backlog is not that different from what we have seen in the P&L for the last nine months?
Marika Fredriksson: No.
Anders Runevad: No. I think yes, and I mean, we say stable price for megawatt, you’re seeing that for the last four quarters. We have improved our gross margins we have 17.5% this quarter. We deliver 9% EBIT this quarter, so, yes.
Claus Almer – Carnegie: Okay. Then my second question goes to this higher guidance. I know last quarter there was a lot of question about the bonus. I’m not going to ask for a specific number, but given the higher guidance, have you made a provision now in the Q3 results?
Marika Fredriksson: Well, overall the guidance does include provisions. So it’s after bonus. We do as required, we provide for bonus when we see a need for it. What I can say Claus is that you will not see a spike of bonus provisions in Q4. And that should also, we are sort of overall controlling the bonus questions. We’re also delivering now a 9% EBIT in Q3. And we’re also saying that the guidance is after bonus. So, it is controlled and we are providing when required.
Claus Almer – Carnegie: Sure. Okay. And then my final question is a little bit of a repeat from my earlier question. But in the report, you mention that the U.S. market continues to be characterized by demand caused by the PTC. In my view, or how I read this comment is that you expect to sign more U.S. orders into 2014. Is that correctly understood?
Anders Runevad: What I said was that, I pointed out the potential on the frame agreements. And you’re also right that they re-endorsed for new orders in the U.S. for the current PTC cycle. If I put it like that, it’s not closed. And that was also my comment on the question before that our sales team in the U.S., is very busy and expect in this cycle to be very busy for the next three to six months. And on the course it depends on what happens with the next potential PTC cycle.
Claus Almer – Carnegie: Okay. Thank you so much.
Operator: Okay. And our next question comes from David Vos from Barclays. Please go ahead sir.
David Vos – Barclays: Yes, good morning gentlemen. A couple of questions. First, on Europe, what can you say about the outlook for 2015. It appears to me that with the new German regulations and with the, newer markets in Germany already at quite high levels. That market perhaps has picked already. So if you could comment on the order intake outlook for 2015 that would be great? Or I’ll take the question internally.
Anders Runevad: Okay. No, as I said, on Europe I think it’s very encouraging that, I have decided on renewable targets on 2030 on top of the renewal target that we already have in 2020. I think as it was described when I talked about orders, we see a stable market not just in Germany but we also see good markets in the Nordics, we see France, as a good example in Europe increasing their renewable. So, overall we see a stable market, we see a long-term framework from the EU. And one specific orders for ‘15 of my overall comment is that when it comes to our outlook and our guidance for ‘15, we will come back to that in February of next year.
David Vos – Barclays: Right, understood. Could you just help me clarify the German specific out them, because it seems to me that when there is a cap placed that is several hundred megawatt slower than the previous year installations, I can’t help I think that the market will come down and previous comments that re-powering isn’t that much of a service, of a revenue generator for Vestas yet. I just struggle to see how you can come to a stable market it’s under what circumstances?
Anders Runevad: Now, what I said was that we set a rate in Europe and Africa is stable, radiant of that is what we saw, that is what we see and that is what I described in the order book that we see in actual up until September. We see, as I also described actually fairly high activity levels on delivery. And I also described that we see movements within different markets up and down, but as a balance for the radiant, we see a stable rating.
David Vos – Barclays: Okay, understood. Then on your new China strategy, could you elaborate on just how much megawatts of orders or revenues you’re looking to generate in that market? And also who you are looking at to take share from, I mean, is it from the top or the middle tier players, how do you think about that your positioning in that market?
Anders Runevad: First of all, Vestas is top tier player and we will continue to be a top tier player, we have no other ambition. And that also remains that of course we are all looking at opportunities in that segment of the market. We continue to be that player and want to be that player going forward. I will not there of course point out certain competitors. But we will focus on our strength and at this definitely as a top tier player. That also means that what I talked about before that the shift in the market that we see from more focus on initial CapEx to the cost of energy, for the lifetime of the project, we think is a good opportunity for us and place well into our position globally and a position we also can take in China. We have not set up or communicated a specific megawatt or gigawatt for that matter target in the Chinese market. Our ambition is to grow, and our ambition is to grow from where we are today. And I should also point out that it is a mid-term strategy and we are putting the steps in place to a shape that year-on-year growth ambition that we have.
David Vos – Barclays: Okay. And finally, on the cash balance that you’re developing which is obviously quite handsome and growing. What is your intention on this we’ve heard of, obviously your comments about a dividend but in a more strategic framework? How should Vestas shareholder expect that cash to be deployed longer term?
Marika Fredriksson: Well, first of all, as you would point out, we are very happy with the cash position that we have at this point. And we are obviously continuously looking at how to maintain a good position. So when it comes to anything specific, which one would be a dividend, we will get back to you. And the dividend is obviously not our decision, it’s a board decision.
David Vos – Barclays: Sure. I did ask one comment beyond the dividend, I think the concern is that that will be reinstated and I appreciate that that’s a board decision. But can you give some steer of how you longer term, want to apply that cash balance?
Marika Fredriksson: Well, again, as I said I mean there are different means on how to – what to do with the cash balance that we have. And we will come back to that in an appropriate time.
David Vos – Barclays: Okay. Thank you very much.
Marika Fredriksson: Thank you.
Operator: Okay. And our next question comes from Patrik Setterberg from Nordea. Please go ahead, sir.
Patrik Setterberg – Nordea: Yes, good morning and good numbers from the resolution. I just have one small question it’s regarding what is written in note 8 in your report. And it is Mitsubishi’s approval of the closing balance of the new joint venture offshore. You should say that the approval has been postponed into the fourth quarter, could you just tell me why?
Marika Fredriksson: Yes. First of all what I would like to say is that cooperation with Mitsubishi progressed very well. It is a few minor outstanding items in the agreement that we’re waiting for the final signature of. But, there is, completely insignificant outstanding issues. So, the cooperation order is progressing according to plan.
Patrik Setterberg – Nordea: Okay. So, there is no discussions nothing we should be worried about?
Marika Fredriksson: Nothing to be worried about.
Patrik Setterberg – Nordea: Okay.
Anders Runevad: I would say on the contrary, I think we are progressing really well with the partnership with Mitsubishi and I – we’d also say that when it comes to the technical performance and bringing to market probably 164, they’re also on track. On the milestones that we have set out together and on the commercial internal milestones we’re also on track. So, everything is on track on the plan that we talked about and communicated as the basis for the joint venture.
Patrik Setterberg – Nordea: Okay, very good. That was it from me.
Marika Fredriksson: Thank you.
Operator: Okay. And our next question comes from Shai Hill from Macquarie, please go ahead.
Shai Hill – Macquarie: Yes, good morning it’s Shai Hill, Macquarie. I had two bold questions please and maybe that’s for Marika. First one was just on payables, and obviously you delivered a lot of working capital improvement for increasing payables, it was €1.4 billion roughly on your balance sheet. Now, can you give us some estimate or some quantum of how much further there is to go in reducing your average payables balance?
Marika Fredriksson: Yes, sorry.
Shai Hill – Macquarie: On the second one Marika, it’s just on the margin really I know you’ve had first questions. But I just wanted to get some more color on the margin of some spectacular performance in the third quarter at 9%. I wanted to get some sense of the sustainability, because obviously the slide said, it’s largely down to operational leverage, even though stock numbers are rising very strongly. I mean, are we saying for example currently that if Vestas could deliver €2 billion a quarter in revenues that it could deliver a 10% EBIT margin? Is that what you were saying or was there something unusual in the project makes in the quarter?
Marika Fredriksson: Okay. If we start with your first question on the net working capital and the payable items, in the project running, payable being one of them I would say that on the payable side, we’re in terms of improved payment terms we are good to go as we speak now. I don’t think we reduced much more but if you look at the overall focus within the working capital item, we will continue to be the megawatt under completion because that is the big part in what we’re tying up. So, we are, I will say focusing and controlling in an increased activity environment continue to improve on the net working capital which I think is an, in-particular controlled in net working capital. So, the focus will continue and there is the focus will primarily be on the bigger item and that’s the megawatt under completion. Secondly, if you – when we talk about the margins, and I understand where – obviously where you are heading. What we have said all along is that yes, we have reduced the breakeven levels for the company. We have leveraged from the cost out that we have done. And also continue to do. So, the focus is still improving the gross profit for the company going forward. There will be always in the quarters mix impacts because we’re selling on a global basis. We’re also selling different scope and different type of products. The cost out and the continued improvement on gross profit and therefore also the EBIT will continue.
Anders Runevad: Okay. I think we are getting closer to the end. So, if we can have last questions.
Operator: Our last question comes from Klaus Kehl from Nykredit Markets. Please go ahead, sir.
Klaus Kehl – Nykredit Markets: Yes, hello. Klaus Kehl from Nykredit Markets. If I just have one – the time for one question then I would ask you, do you think you will be able to deliver the risk of the frame agreements in the U.S. in ‘15 or do you think any of them will reach into 2016? And would there be any idea for the clients to install the turbines in ‘16 rather than ‘15? That will be my question.
Anders Runevad: I would say, generically speaking, of course on the part of the frame contract that we have declared as firm and unconditional orders. Those of course we will deliver according to the commitment that we have with our customers in the U.S. And we are confident on that delivery. I think it’s also fair to say that of course the majority of those delivery on the already as I’ve said from the declared orders already in 2015. Then I will not speculate further than that if there are potential some customers who could take later delivery, I think that’s really a question for the customer side and not for us, in Vestas too. We are confident that we can live up to all the delivery commitments that we are committed to do, to our customers.
Klaus Kehl – Nykredit Markets: Yes, but the question was more related to the remaining part of your frame agreement. Do you simply have the capacity to deliver and not of 1.2 billion sorry 1.2 gigawatts of turbines in ‘15 on top of what already have been signed?
Anders Runevad: I mean, just to be clear on that point, we have – we will follow a normal order confirmation process which means that when we get firm in unconditional orders that is when we announced those orders. So, what I said about the potential in the 1.2 that is left is that we are working on trying to save what we can secure of those 1.2. And I just wanted to point out that they are not secure as of today because we need to get there, and also with that firm. What I also said was that and as you saw in the slide, is that are also possibility of other orders as we have seen on actual up-to-date on orders outside of frames. And that could mean that part of the frames, are left for future years in the U.S. for example. So, this was just to get clarity on the frames and how we work within those frames and what exists outside the frames. But again, we have the capacity in the U.S. We can definitely do more than the current order intake, actual that we have in the U.S. So, I’m confident that we can if and when we get more orders in the U.S. we can do that delivery as well.
Klaus Kehl – Nykredit Markets: Okay. Thank you.